Company Speakers: Cody Mueller - Vice President of Finance & Investor Relations Kevin Hostetler - Chief Executive Officer & Director Nipul Patel - Chief Financial Officer
Operator: Hello, and welcome to the Array Technologies First Quarter 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Cody Mueller, Investor Relations, Array. Please go ahead.
Cody Mueller: Good evening. And thank you for joining us on today's conference call to discuss Array Technologies first quarter 2022 results. Slides for today's presentation are available on the Investor Relations section of our website, arraytechinc.com. During this conference call, management will make forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect, because of other factors discussed in today's earnings press release, the comments made during this conference call or in our latest reports and filings with the Securities and Exchange Commission, which can be found on our website, arraytechinc.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the company's first quarter press release for definitional information and reconciliations of historical non-GAAP measures to the comparable GAAP financial measures. With that, let me turn the call over to Kevin Hostetler, Array Technologies' CEO.
Kevin Hostetler: Thanks, Cody, and good evening, everyone. Thank you for joining us on today's call. In addition to Cody, I'm also joined by Nipul Patel, our Chief Financial Officer. I'm excited to join you on my first Array Technologies earnings call and on day 23 as the CEO of Array. Now there is still a lot of work I need to do and much more time to be spent with employees, customers, suppliers and investors in order to give my full assessment on the state of the company. But I did want to provide some early observations about the company and the industry before turning it over to Nipul for a more detailed discussion of the quarter and our revised outlook for 2022. First, and I think this is a critical context for everything else that is going on, my decision to come to Array was largely influenced by 2 fundamental factors. One, the world is transitioning to renewable energy. Combating climate change is no longer a niche pursuit by a few. It is now core to the identity of the world's largest governments, corporations and asset managers. And there is simply no feasible way to meet the stated goals of these entities without significant increases in the amount of solar energy produced. And two, Array is positioned incredibly well to be a global leader in the solar energy transition. Array has differentiated products that more and more customers are selecting. It has the bankability of over 30 years in the industry and has an asset-light business model that enables quick and nimble scalability. Now, I recognize these are not new statements to many of you. But I start there because despite some of the near-term challenges within our industry, when I think about the long-term horizon and companies and industries that are poised to make a lasting change in the world, while at the same time driving shareholder value. Array operates in a unique space. Since joining, I have not only experienced firsthand, these differentiated capabilities, but have also been able to deepen my appreciation for the complexity of the problems we are solving and the employees who are solving them. As many of you know, I've now spent decades leading engineered product companies. And I will tell you, experiences taught me if you can find a great product, serving a growing and necessary market, supported by a skilled and dedicated workforce, you have the key elements of a formula to drive strong shareholder value. This being said, it's also important to realize we must execute in the near term in order to continue to build the trust of our customers and investors, which we will need for the opportunity to make that lasting change. Over the last year, an extremely volatile cost and logistics landscape coupled with an uneven and constantly shifting demand profile has made execution a bit more challenging. And let's be clear, over the next few quarters, the landscape is not going to get much easier. The AD/CVD investigation has placed uncertainty around the timing of some of our projects and has vastly increased the complexity of managing our supply chain and logistics. Adding to this, the conflict in Ukraine has slowed supply chains throughout Europe, and we are seeing the direct impact of this on projects in Europe as component supplies are rerouted. While these issues will reduce our outlook for 2022, they are far from unmanageable. My experience, coupled with the steps that newly reformed senior leadership team have already taken leave me confident we will execute on what is within our control. This includes managing not only our material and logistics costs, but also aligning our SG&A spend with changing volume levels. It also means we will need to have a laser focus on working capital management to ensure we don't incur inefficiencies as projects shift left and shift right. This near-term market uncertainty presents an opportunity for us to further differentiate ourselves from our competitors. To this end, we will focus intently on working with our customers to solve their module challenges by playing an active and flexible role in their rapid system redesign efforts, all while delivering our products on time with an unparalleled customer experience. Finally, it is also an opportunity to identify and focus on customers and suppliers who are truly willing to be partners. Industry challenges like this require collaboration and a sharing of risk. We are certainly ready to do our part and we'll be evaluating which partners are willing to do the same. Array has made a lot of progress since becoming a public company a little over 1.5 years ago, but we still have room for improvement. Over the coming months, I'll continue my comprehensive review of Array's operating systems and core business processes to further identify areas in which we can drive operational efficiences. I look forward to updating you all on the progress of my reviews in our next quarter's call. With that, I'd like to give a heartfelt thank you to the employees of Array who have been extremely welcoming and turn the call over to Nipul.
Nipul Patel: Thanks, Kevin. Speaking for the management team and employees of Array, we are excited to have you on board. I want to touch on a few topics today. First, I'll walk through the results for the quarter, which finished better than our expectations. Then I'll provide some color on AD/CVD and the work we have been doing over the last few weeks in order to quantify the impact to our business. And lastly, in light of the impact we are seeing from the investigation, I will provide an updated guidance range for 2022. With that, I'll turn to Slide 6 to discuss the quarter. Revenues for the first quarter increased 21% to $300.6 million compared to $248.2 million for the prior year period. The $301 million in revenue reflects $251 million from the legacy Array business and $50 million from the STI business. Revenue in the first quarter of 2021 also included approximately $40 million of ITC-related orders. So excluding those orders, our legacy Array business is up 21% year-over-year. It also represents the third consecutive quarter of revenue growth and a record for a quarter without any ITC-related orders. Gross profit decreased to $26.6 million from $46.2 million in the prior year period due to the expected impacts of the lower margin backlog in the legacy Array business as well as a low-margin STI project in the U.S., which had a negative impact. Gross margin decreased from 18.6% to 8.8%. Gross margin for the legacy Array business was 8.5% and represents the second consecutive quarter of margin improvement as it is up 380 basis points from the fourth quarter. The STI business had gross margin of 10.7% in the quarter, which was negatively impacted by higher labor costs in projects where it was providing the construction. This was especially true of a large project in the U.S., where it has significant construction cost overruns. Additionally, the war in Ukraine slowed supply chain availability in Europe, which necessitated a change in the location where material was procured, raising the logistics costs. Operating expenses increased to $58.7 million compared to $30.8 million during the same period in the prior year. The higher expense was primarily related to a $16.7 million increase in amortization expense related to the STI acquisition. Excluding that impact, the increase is primarily due to the addition of STI Norland in addition to higher payroll-related costs due to an increase in headcount as well as higher professional fees associated with the acquisition. These increases were partially offset by a reduction in contingent consideration of $3.7 million. Net loss attributable to common shareholders was $33.7 million compared to a net income of $4.6 million during the same period in the prior year, and basic and diluted loss per share were negative $0.23 compared to basic and diluted earnings per share of $0.04 during the same period in the prior year. Adjusted EBITDA decreased to $700,000 compared to $36.6 million for the prior year period. Looking at free cash flow. As anticipated, we used cash of $52.5 million in the quarter, primarily due to an increase in unbilled receivables as we had a high concentration of deliveries towards the end of the quarter, which limited our ability to get them built prior to quarter end; this is not a trend we expect going forward. Overall, we were pleased with the quarter. The changes we instituted in our legacy Array business are continuing to drive improvements in our profitability and our operations team has delivered on progressively higher volumes despite a lot of project timing movement. Our recently acquired STI business did have a few cost challenges this quarter as it went through some growing pains, constructing a project in the U.S., which were compounded by disruption caused by the war in Ukraine. These elevated costs will be a short-term overhang, but they are certainly addressable as we more fully integrate. Now if we move to Slide 7. When we had our last earnings call, you will remember that it was the week after the announcement of the AD/CVD investigation. At that time, we stated on the call, we did not have sufficient information to evaluate any resulting impact. However, since that time, there has been a lot more work done by the industry to quantify the impact of the investigation. At this point, it is inevitable that it will have an impact to the industry. As SIA recently noted in their April 26 survey, of the respondents, 83% of projects have had their current module supply either get canceled or delayed and 80% of domestic manufacturers are expecting severe or devastating impacts to their business. Unfortunately, as one of the largest domestic providers of utility-scale trackers, we are not immune to this market disruption. So we do anticipate a portion of our business will be impacted. However, that is the bad news. On a more positive side, we conducted a thorough analysis of our current order book. And at this time, we are forecasting between $225 million to $250 million of revenue will be at risk due to module uncertainty. While that number is not trivial, it only represents about 15% of our previous outlook at the midpoint of $1.6 billion. Further, in recent weeks, we have seen the industry rally behind its opposition to this investigation, and we have been front and center of it. Our position is clear. We are fully supportive of a more robust domestic source of modules. However, the supply chain does not exist today. So in the meantime, we seek a practical and stable solution for our industry. Erica Brinker, our Chief Commercial Officer, has spent much of the last few weeks meeting with legislators and administration officials outlining that position along with many others in the industry. While there still is uncertainty as to the ultimate outcome, we are hopeful that these efforts are making a positive impact. Moving to the next slide. In light of the current expected impact, you will see our updated guidance range for 2022. You can see that we are reflecting a reduction of revenue of $200 million at our midpoint, reflecting the AD/CVD risk, which was partially offset by conversion of new orders. We now expect revenue to be between $1.3 billion and $1.5 billion. Looking at adjusted EBITDA, as you might expect, the projects with less module certainty are those that we have signed more recently, and therefore carry higher gross margins, which creates a larger drop-through impact. Further, as discussed earlier, we are also seeing some cost challenges in the STI business that will create a short-term headwind. First, there are elevated labor costs related to the construction of some of their projects, particularly a large U.S.-based project. This project was signed prior to our acquisition and is the first large project in the U.S., where STI is doing the site construction. We have already made changes to the way the company sources its labor on future projects and we'll evaluate in more detail whether construction is a core competency of the business. Second, the war in Ukraine has created some supply chain disruption in Europe. This has forced STI to bring materials from Asia, leading to higher logistics costs. Going forward, these elevated costs will be reflected in price increases. However, for projects currently under contract, it will create some margin compression. Taking these factors together, we're now expecting adjusted EBITDA to be between $120 million and $140 million for 2022 and adjusted EPS to be between $0.25 and $0.35 with the same share count expectations as before. We also expect the AD/CVD pushouts will have a negative impact to our legacy Array margins in the second quarter as several large higher-margin projects are no longer slated to be delivered. This, coupled with STI challenges will create some downward margin pressure for the second quarter. That said, we still anticipate sequential revenue growth and sequential margin improvement in both the legacy Array and STI businesses. For the quarter, we are expecting sequential revenue growth between 20% and 25% and adjusted EBITDA margin to be between 6.5% and 7.5%. Lastly, the reduction of our outlook, we obviously considered the impact to liquidity and free cash flow. We still anticipate to produce free cash flow for the year with the expectation still that it will be more back-half weighted. Further, the reduced volume eases some of the peaks and troughs in our working capital, so there is a little bit of smoothing effect. However, the constant shifting of project timing will mean we have to manage our inventory levels very intently. I'll conclude by stating, while there are near-term headwinds, 2022 will still be a good operational year for us. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question is from Brian Lee of Goldman Sachs.
Brian Lee: And I appreciate some of the color around the guidance update here. I guess with respect to that, first question I would have would just be around when you're talking to some of your customers and you've identified these projects that are moving out of '22, how much, if any, visibility do you have around if these are moving into '23 first half, second half? Or if these are kind of open ended, where they may actually slip into even further out years based on project development time lines? And then I think, Nipul, you mentioned some projects in the legacy Array business actually moved out altogether. Could you elaborate on that? I thought that was a 2Q comment, but could you elaborate on that a bit as well?
Nipul Patel: Yes. Sure, Brian. So regarding the discussion. So as we mentioned on the prepared remarks, we've performed a project-by-project analysis of new bookings, we spoke with customers and independently, also evaluated the module certainty. And with that, as of now, the pushouts that we see are moving into 2023. We don't have any further information at this point. And the comments I made about the Q2 margins and the pushouts is, we had some of those projects scheduled in Q2, they have -- some got pushed further into the year and some got pushed into 2023.
Brian Lee: Okay, fair enough. That's helpful. And then maybe 2 just kind of modeling-related questions. If I look at the sort of $200 million or so in revenue that's being pulled out of the guidance for the year at the midpoint, and then I know in the press release, you said that the EBITDA impact is higher because these are richer margin projects, it implies you're getting like a 30% EBITDA margin on the $200 million revenue or so that's being pulled out of the guide. So I guess, one, is that correct? And then two, I guess what are you seeing on the incremental $200 million of bookings in order contracts you cited in the quarter. Is this kind of the level of EBITDA margin you're expecting going forward on new projects just sort of seems like a very high number. Just trying to get a sense of how sustainable that 30% level is just given what's implied by the pushout in revenues here?
Nipul Patel: Brian, so just a little clarification. So when we said the push out of the $200 million, that's a legacy margins. So think about low 20s piece that is also in there is our STI business as we mentioned in the prepared remarks, have a bit more higher construction costs and logistics costs. That's -- we're going to see that running for a couple of quarters, so impacting 2022. So a combination of the 2 is what brings the midpoint of that EBITDA range down.
Brian Lee: Sorry, let me repeat myself. I was looking at what you've taken out of the guide, I guess. So some of that is just the elevated cost, but it does imply the incremental $200 million of revenue had you captured that, that was going to come in at a 30% EBITDA margin. Am I missing something there? Is there something unique about that, that volume projects that is now being assumed in '23, I suppose, reaching those levels of profitability because it's just -- it's the EBITDA delta versus the revenue delta I'm trying to get at, and it implies a pretty healthy margin profile for the amount of projects that are pushing out in the guide here.
Nipul Patel: No, it's not implying anything more. So I would keep it to thinking that we're at the legacy margins of below 20%, pushing out to 2022 and into 2023.
Brian Lee: Okay, fair enough. I'll take it offline. And then just on the cash comments on the balance sheet, you have $50 million of cash or so exiting Q1 here. I think the revolver is untapped. But how should we think about cash flow. It sounds like based on your comments and also looking at seasonality, Q2 is going to be another cash burn quarter. Plans to tap the revolver, any covenants we need to be aware of? And just general thoughts around liquidity in the near term until you see better cash flow in the back half of the year?
Nipul Patel: Yes. So yes, you'll see, we are tapped on the revolver of $52 million at Q1, you'll see, but we do have $50 million of cash on the balance sheet, just timing of that. We feel good about overall cash flow, as we mentioned in the prepared remarks, we would be cash flow positive -- our forecast to be cash flow positive for the year. So back-half weighted. Q2 is a quarter here where some of these projects that we mentioned previously have shifted out of Q2. So that kind of that peak has helped a little bit from a cash flow perspective. So we feel it will be back-half weighted about a little bit of free cash flow positive in Q2 and then that back-half weighted to get to a total free cash flow positive for the year.
Operator: Our next question is from Mark Strouse of JPMorgan.
Mark Strouse: I was just hoping you could give a bit more color on kind of demand trends that you're seeing in Europe, either with the STI business or the legacy Array business. We're seeing very strong import data into the European market year-to-date. Obviously, with utility scale projects take time. So I'm just kind of curious if there -- if it's backlog or if it's pipeline, any way to quantify what you've seen in Europe year-to-date.
Nipul Patel: Yes. So with both our U.S. and European business, we've seen strength in our bookings. As we, say, our overall backlog order book has gone up to $2 billion from the -- what we had at year-end. So we feel strong about that. STI has gone up as well. We've seen that strength both in STI businesses in both Europe and in Brazil. But Europe is strong as kind of what you said as well, Mark.
Mark Strouse: Okay. And then, I mean if we think about a surge in demand in Europe in addition to kind of push outs from AD/CVD in the U.S. kind of gearing up for arguably a very strong 2023. Does that require any kind of temporary elevated investment in order to prepare your ability to meet that demand, those shipments in 2023?
Nipul Patel: The other fortunate thing is we have the asset-light model and our supply chain is -- goal is to increase our capacity to handle increases in overall demand. We feel right now we're sending that capacity up for the demand that is pushing out into 2023.
Mark Strouse: Okay. And then just real quick, lastly, this could be a yes or no answer. But kind of getting the sense that the construction costs and everything that you're talking about incremental expenses here do not impact your long-term view of gross margin. So if we should still think about the legacy business being high teens, low 20s gross margins. Is that still accurate?
Nipul Patel: That is accurate.
Operator: Our next question is from Maheep Mandloi of Crédit Suisse.
Maheep Mandloi: So just on the guidance, could you just talk about like how much confidence you have for the balance of -- I think the U.S. revenues at the midpoint is roughly around $750 million. So how much confidence do you have on that in terms of module availability from your customers?
Nipul Patel: Yes. No, we do based on our discussions as well as independent valuations, we feel confident about module availability with the revised guidance that we've provided.
Kevin Hostetler: But I will say -- this is Kevin. I just want to make sure that we're noting that, that at this point in time. We've had direct conversations with all our large customers. And this is their direct feedback to us and commitments that have been made to them for module availability. So dealing with some imperfect information from time to time. And at this point in time, we feel pretty confident.
Maheep Mandloi: Right. And -- but I presume you have access to like the type of modules probably used in those projects, right? But could you say like if those modules are exempted from these investigation? Or are they still at risk of potentially being reviewed later this year.
Nipul Patel: I mean, I guess, global state what Kevin said is we did our -- we had discussions with customers, did our independent evaluation. And at this time, this is where we feel we've identified the risks that we know at this time. Based on that information, and that's why we feel comfortable with the guidance range we've provided.
Maheep Mandloi: Got it. And then just 1 last one from me. I think in the past, you kind of talked about shipping trackers as well sometimes ahead of module deliveries, which generally is a rare recurrence, but trying to understand if that's something which could help kind of bring some upside to the guidance later this year.
Kevin Hostetler: We do currently have a couple of customers requesting that of us now, and we're evaluating that. Fortunately for us with our design, we have a high degree of flexibility. And for our end customers to potentially switch out similar modules without doing major design changes. But we have customers who are operating in every bit of that continuum now from doing full design changes to switch out and to asking us to construct, and then at a later point in time, supply the clamping systems for their module of choice, which may be influenced [ph]. So we're working really hard with our customers, direct communication on a regular basis and all along that continuum.
Maheep Mandloi: Got you. And I appreciate the response.
Kevin Hostetler: I guess it should be noted that many of our customers, although the modules may be at risk and pushing out of this year, that doesn't mean they're giving up. They're still trying to find alternative supply and trying to pull and keep things into their original program dates as well. So we're certainly here and willing to support them in all of those [indiscernible].
Operator: Our next question is from Philip Shen of ROTH Capital.
Philip Shen: I had a follow-up on Maheep's question there on the '22 revenue guide. I was wondering if you might be able to share what percentage of that $1 billion is 1, domestic; and 2, international? And then also, importantly, of the domestic revenue, what percentage of that do you think is supported by First Solar, Maxeon projects as well as safe harbor. Just trying to get a feel for the level of confidence you have in that $1 billion with First Solar, Maxeon and Safe Harbor hybrid modules and it seems like you guys are probably in a very good position there with [indiscernible].
Nipul Patel: Yes Phil. So first, to answer the first part of your question on that $1 billion, that represents the legacy Array portion, it's about a 90-10 split as far as domestic international. As far as the split, we haven't provided the split of kind of that in $1 billion or that $900 million [ph], I guess, of the particular modules. But again, we'll go back to the discussions we have, but also the independent evaluation we did of what module certainty there was. We feel good about that at this point, where we feel confident enough to put the $1 billion out there as far as the midpoint.
Philip Shen: Great. And then coming back to the revolver. You mentioned, Nipul, that you guys pulled down $52 million in the quarter. Can you talk through how much more you can pull down without tripping any of the covenants.
Nipul Patel: Yes, sure. So we have a covenant that we have to be 7.1x leverage or less. And so with the short-term kind of trailing 12-month adjusted EBITDA that we've had, we have to clear, let's stay under $70 million for the very short term, probably in Q2. But we feel good about our cash flow here in Q2 and the options that we have. Scenario planning we've done to get past the short term. And then after Q2, we see it opening up in the full revolver capacity being available for us.
Philip Shen: Okay, great. One more here. As it relates to STI, can you just help us understand -- you were talking about these increased construction costs. But I think if you guys are selling widgets and tracker product. So does STI have a business where they actually get involved with EPC as well? And just if you can give us a little bit more color on that. And sorry if I missed it.
Nipul Patel: Yes. So Phil, the -- that isn't their core business, but for certain large customers, they have contracted to do the construction projects and what drove -- a large portion of what drove the margin lower than our expected amount for Q1 was a project in the U.S., we've been involved. They have another project in the U.S. where they've committed construction, and we've been involved. The management team is involved in helping them with their labor, choosing labor for that one. So it's not something they do as a core competency, but they have it on a couple of projects.
Operator: Our next question is from Colin Rusch of Oppenheimer.
Colin Rusch: I want to dig into the liquidity question a little bit deeper. Can you give us a sense of how much liquidity you have right now? And how much you have been able to collect out of that working capital quarter-to-date?
Nipul Patel: Yes, sure. So liquidity, we have the revolver up to another $20 million on the revolver plus the cash we have on the balance sheet, as mentioned previously. We also have, if needed, we have $100 million of preferred shares that we can pull. And then, of course, as you saw, you'll see as our receivables, we have $400 million of receivables at 331 and about $200 million of payables. So that just cash sources and uses, we expect those receivables to be collected here in Q2. So we feel that, that provides us enough liquidity along with the remaining revolver as well as if needed potentially preferred shares.
Colin Rusch: Okay, that's helpful. And then, can you give us an update on any sort of efforts that you have around engineering and cost out of the solutions and cost reduction efforts and qualification of those redesign?
Nipul Patel: Yes, sure. So we continue to look at value engineering our products and taking costs out of it. Nothing very specific at this point, but we continue to work with our customers on producing the cost of install of their product. So whatever we can do on that because that's one of the largest costs, of course, in building the solar farms, so we'll continue to help the customer with that and reduce on installing the trackers as well as foundations and such. So we -- those are the key things we're working on from an engineering innovation standpoint.
Operator: Next question is from Kashy Harrison of Piper Sandler.
Kasope Harrison: Kevin, congrats on the new role. You made a comment in your prepared remarks about sharing risks with your customers. Could you please elaborate further on what you were referring to specifically?
Kevin Hostetler: Yes. So this is really about maintaining a level of flexibility for customers. And what I was referencing there in particular was things such as warranty on clients and class design that may be changing from the original design spec to where they find themselves needing a different plan and spec with different modules choice, right? So we have customers coming to us saying, look, could you be a little bit more flexible, extend warranty on that change of design and we'll either pay an additional money for an extended warranty or things like that. So just asking us for a little bit more flexible solutions to get through this time period, and we're certainly willing to do that. Only after we've done the engineering work internally to make sure that, that makes sense for us to do. So it's really about, again, staying in close contact with these large customers of ours and having a degree of flexibility in working with them.
Kasope Harrison: That's helpful.
Kevin Hostetler: Yes. So that also extends in the other direction, right, where as we have some of these large programs slipping out, ensuring that our suppliers, our vendors are being flexible in delaying shipments and what have you -- and keeping it in their inventory instead of ours to help us manage working capital a little bit better. So we're looking for that flexibility in both directions, and we're behaving in a very flexible manner our customers are and thus far, our vendors are as well.
Kasope Harrison: That's helpful context and actually dovetails quite nicely to my next question, which is around working capital. I think both you and Nipul mentioned, it's going to be a focus here moving forward. Just looking at the days sales outstanding in like 2019, 2020 relative to where it is today, it seems like days sales outstanding has increased quite a lot over that time period. I'm wondering if something has changed in the way you collect cash from your customers today relative to 2020, and if you have the ability to return to those historical levels across the board, not just receivables, but payables and inventory days, et cetera.
Nipul Patel: Yes. The short-term answer is yes. But we feel we have the ability to get back to those cash in debt. In the short term right now with the supply chain as it is. I'll speak of DOIs versus in inventory. We've increased inventory in certain aspects in Q4 and into Q1 to ensure that, one, there's the costs are higher of inventory so there's inflation in that. But then also to buffer any supply chain issues, we've increased some safety stock to make sure we deliver on time. So we don't delay project builds. On the DSOs, there's a portion of that where -- as we were delivering items at the linearity of the deliveries kind of impacted the unbilled, which is items that we shipped and delivered, but not have gone into the billing cycle yet, that the unbilled has increased, which temporarily as our shipments are getting caught up here at the end of Q1. So we feel that will burn down here in Q2 and the balance of the year and get back toward our kind of historical DSOs and DOI as we burn down the inventory.
Kasope Harrison: That's very helpful. And if I could sneak maybe just 1 more in. Just going back to that question on the legacy Array guidance. That $1 billion compares to what you guys did last year at $850 million. I think last year, 97% was U.S.; this year, 90% is U.S. So if you adjust for higher ASPs, would volumes be -- in the U.S. be relatively flat year-over-year? Or would they be down year-over-year for your legacy Array U.S. business?
Nipul Patel: Yes. When you look at that, we actually see that the volumes are slightly up in the U.S. business ex any increase due to pricing. So we've actually seen being it up with the $1 billion.
Operator: Our last question is from Donovan Schafer of Northland Capital Markets.
Donovan Schafer: I want to follow up asking about kind of the self-performance or doing the EPC work, that's going in North America. One would just be, I think you mentioned that there was 1 other project. If you can give kind of a sense of size, it could be very rough if we're talking larger than 100 megawatts, more than 100 megawatts, something like that, just -- and if there's more beyond that and also outside the U.S.? Is this strictly a U.S. phenomenon where they were doing the outperformance because it's highly wage market, maybe the felt like had to prove it out and execute the labor on their own? Or is there something they also do in Brazil and in Europe?
Nipul Patel: Yes. Donovan, it's Nipul. So the project is over 100 megawatts here in the U.S., the second project. And there's no other scheduled for the U.S. And we've assisted on that one considerably as far as ensuring the labor is at the product cost. And so we've helped them on that one. I think you have -- as I mentioned earlier on the call, it's not all for them, but they have projects, both in Brazil and in Spain as they sell or install themselves, but not by any stretch. A majority of their projects is a small portion of them, and we're evaluating that.
Donovan Schafer: Okay. And then for the depreciation expense that was added with the STI and Norland acquisition, can you give us a sense of kind of what underlies that? Is that for capital equipment produced, tracker components? Is that -- the legacy amortization you guys have had with research and development where you're no longer doing that practice of amortizing it. So is this something where there will be -- it reflects CapEx that is likely to be happening and continuing? Or is this something that's just going to kind of run off? What's kind of underlying that depreciation?
Nipul Patel: Yes. Donovan, what you see there and what we said in the prepared remarks, is not depreciation, it's amortization related to the acquisition. And that's amortization related to -- primarily to backlog and customer lists. That's what makes up the $16.7 million predominantly.
Donovan Schafer: My apologize. One then last question, just in the interest of -- just sort of for my own sake, looking back, I know things have changed. But looking back at the Q2 and the Q3 deck from '21, you guys gave some helpful information around gross margins and how that would kind of be reversing. And then, of course, there was this accounting change that led to the delay in Q4, and that had some impact on gross margins. So I'm just curious if you could share for the first quarter in pretty rough terms what kind of a gross margin would it have been under the old methodology? Is that something where you pick up another 1%, 2%? I'm just trying to kind of recall that and use it based on what you say to kind of look back and how that compares with what you guys are saying about then. And again, I know things have changed. The whole environment has changed. But can you give me any indication of that?
Nipul Patel: Donovan, we wouldn't have thought the margins would have changed in 2022 based on that accounting change. So the -- what we stated for the legacy Array business at 8.5% is where the margins are. So we feel good about that as a sequential growth as we were saying and we feel -- we also feel that in Q2 will continue that sequential margin growth. So we're staying on a trajectory of the Array business recovery and based on the processes we put in place.
Donovan Schafer: And so if I'm hearing this right, you're saying they would have also been 8.5%, that would have also been the gross margin under the old methodology or you...
Nipul Patel: Yes.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. This concludes today's conference. Thank you for joining us. You may now disconnect your lines.